Operator: Thank you for standing by. This is the conference operator. Welcome to the iA Financial Group Third Quarter 2025 Earnings Results Conference Call. [Operator Instructions] The conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Caroline Drouin with iA Financial Group. Please go ahead.
Caroline Drouin: Thank you, and good morning, everyone. Welcome to iA's Third Quarter 2025 Conference Call. This conference call is open to the financial community, the media and the public, and I remind you that the question period is reserved for financial analysts. Before we start, I draw your attention to the forward-looking statements information on Slide 2 as well as the non-IFRS and additional financial measures information on Slide 3. Also, please note that a detailed discussion of the company's risk is provided in our 2024 MD&A available on SEDAR and on our website with an update in our Q3 2025 MD&A, which was released yesterday. I will start by introducing everyone attending on behalf of iA. First, Denis Ricard, President and CEO; Eric Jobin, Chief Financial Officer and Chief Actuary; Alain Bergeron, Chief Investment Officer; Stephan Bourbonnais, responsible for our Wealth Management operations; Renee Laflamme, responsible for Individual Insurance, Savings and Retirement; Pierre Miron, Chief Growth Officer for our Canadian Operations and responsible for Dealer Services Canada and iA Auto and Home; Sean O'Brien, Chief Growth Officer for our U.S. operations; and finally, Louis-Philippe Pouliot, in charge of Group Benefits and Retirement Solutions. So with that, I will now turn the call over to Denis Ricard.
Denis Ricard: Good morning, everyone, and thank you for being with us on the call today. Before we dive into our strong third quarter financial results, I'd like to begin with a significant milestone for iA. On October 31, we officially completed the acquisition of RF Capital Group, one of Canada's leading independent wealth management firms. This transaction represents a major step forward in our strategy to strengthen our national footprint and expand our presence in the high net worth segment. We are very pleased to welcome RF Capital's talented teams to iA, and we look forward to the opportunities this partnership will unlock. Later in the call, Stephan Bourbonnais will provide more details on this successful transaction. Now let's turn to Slide 8 for an overview of our third quarter results. We entered the second half of the year with strong momentum. Core EPS reached $3.47, up 18% year-over-year, and our core ROE stood at 17.2% on a trailing 12-month basis, already meeting our 2027 target of 17% plus. These results underscore the resilience and strength of our diversified business models, which continues to deliver consistent long-term value for our clients and shareholders. Sales continued to be strong with premiums and deposits up 6% year-over-year and total assets under management and administration up 15%. This performance reflects our ability to meet evolving client needs through a broad and competitive product suite, supported by high-performing distribution network. Our capital position proves to be robust with a solvency ratio of 138% at the end of Q3, well above the regulatory minimum. This was supported by strong organic capital generation of $170 million during the quarter. As of September 30, our capital available for deployment stood at approximately $1.7 billion. Together, the acquisition of RF Capital and the AMF-revised CARLI Guideline, which we will be discussed in more detail by Eric later in the call, are expected to reduce the solvency ratio by 3 percentage points and to reduce the capital available for deployment by $375 million. Therefore, on a pro forma basis as of September 30, the solvency ratio is 135%, and our capital available for deployment is estimated at $1.3 billion. Finally, our book value per share increased to $79.22, up 11% year-over-year. We continue to return value to shareholders through our active NCIB. Excluding the impact of NCIB, the increase in book value over the last 12 months is close to 13%. Let's now turn to Slide 9 to review the business growth in our Insurance, Canada segment. Sales level and growth were good across almost all business units. Starting with Individual Insurance, sales reached $102 million, marking a second consecutive quarter above the $100 million mark. While this represents a 1% year-over-year decline, it's important to look beyond this figure. We continue to rank #1 in Canada for the number of policies issued with volume up 5% compared to the same quarter last year. This growth reflects strong business activity, particularly in our core market, the mass market. More importantly, net premiums increased by 11% year-over-year. On a year-to-date basis, sales are up 5%, and this is fully aligned with the expectations we shared at our last investor event. This performance underscores the strength of our distribution networks, the effectiveness of our digital tools and the breadth of our product offering. Turning to group insurance. Premiums and deposits rose by 4% year-over-year, supported by good sales implemented in the last 12 months. In Dealer Services, sales grew by 9% to $214 million, driven by continued momentum in P&C insurance and the contribution from Global Warranty. Finally, iA Auto and Home delivered another strong quarter with sales up 10% year-over-year to $180 million, reflecting both an increase in the number of policies issued and price adjustments. Moving to Slide #10 to highlight Wealth Management sales. where combined net fund sales from SEG and mutual funds across all our units surpassed $1.1 billion this quarter. We continue to build on our leadership position in the Canadian SEG fund market, posting strong results in both gross and net sales. Gross sales of SEG fund rose 23% year-over-year, exceeding $1.6 billion, while net sales reached $997 million. These results speak to the strength of our distribution networks and continued appeal of our product offering. In mutual funds, gross sales increased by 58% to $608 million, and net sales reached $25 million, supported by favorable market conditions and a rebound in the industry-wide sales. Sales of other individual savings product declined 17% year-over-year as investors continue to favor higher return asset classes in the current market environment. Finally, in Group Savings and Retirement, total sales reached $607 million compared to $900 million a year earlier. Sales of accumulation products and insured annuities were lower this quarter. Note that volumes in this unit can fluctuate significantly depending on the size of contracts. That said, total assets under management and group savings were up 15% compared to a year ago. Looking at Slide 11. Our U.S. operations continue to perform well. In Individual Insurance, sales increased by 15% year-over-year, reaching USD 78 million or approximately CAD 107 million. Once again, this quarter, our U.S. individual insurance sales surpassed those in Canada, driven by organic growth in our core markets. Vericity continues to benefit from its scalable platform and data-driven capabilities. Its integration remains on track and is supporting our long-term ambitions in the U.S. market. In Dealer Services, sales remained stable at USD 286 million, reflecting consistent year-over-year performance. It's worth noting that sales in the third quarter of 2024 were temporarily elevated due to a system outage and that the growth momentum observed in the first half of 2025 was moderated by dealer group attrition. This attrition was partly driven by repricing efforts as part of the management actions we've been executing with discipline in recent quarters. While repricing efforts led to the loss of certain accounts, it was a strategic decision aimed at strengthening the foundation of the business and ensuring long-term profitability. We continue to invest in distribution relationships and remain focused on driving sustainable growth through our high-quality offerings. Now turning to Slide 12, where our financial metrics demonstrate consistent progress toward our mid-term targets. Core EPS growth for the first 9 months of 2025 stands at 22% year-over-year, well ahead of our mid-term target of 10% plus and a strong indicator of our earnings momentum. Core ROE remains solid at 17.2%, already meeting our 2027 objective. Year-to-date, we've generated $495 million in organic capital, keeping us firmly on track to meet our 2025 target of over $650 million. Lastly, our dividend payout ratio of 28.3% is well within our target range. To conclude, we renewed our NCIB program, allowing us to repurchase up to 5% of our outstanding shares. This decision reflects our balanced approach to capital allocation and underscores our commitment to returning value to shareholders while continuing to invest in organic growth and strategic acquisitions. With that, I will now hand it over to Eric, who will comment on our third quarter profitability and capital strength. Following Eric's remarks, Stephan Bourbonnais will share a few comments on the RF Capital acquisition, and then we will open the line for questions. Eric?
Eric Jobin: Thank you, Denis, and good morning, everyone. I'm pleased to walk you through our third quarter results, which reflect the consistency of our performance, the disciplined execution of our strategy and the strength of our diversified business model. These results, combined with a robust capital position, reinforce our ability to deliver on our financial targets. Let's begin with Slide 14, which provides an overview of our profitability and financial strength for the third quarter. Core EPS for the third quarter reached $3.47, representing an increase of 18% year-over-year and reported EPS came in at $3.91, up 31% from the same period last year. This performance reflects strong growth in our core insurance service results, higher core noninsurance activities and a solid increase in the core net investment result. These results reaffirm the strength of our fundamentals and the effectiveness of our strategy in delivering sustainable profitability. The quarterly core ROE annualized for the quarter was 18%, and our trailing 12-month core ROE reached 17.2%, continuing to trend above the target of 17% plus for 2027. We are pleased with this level of performance and remain focused on building on this momentum while staying prudent given macroeconomic and trade-related uncertainties. Our financial position is both solid and flexible, supported by our continued ability to generate organic capital. This strength enables us to pursue high-quality growth opportunities, both organically and through targeted acquisitions while maintaining a strong financial position. I'll return to the financial position later in my remarks to discuss the impact of the RF Capital acquisition and the upcoming 2026 AMF-revised CARLI Guideline. Over the past 12 months, our book value per share has increased by 11%. Excluding the impact of our active share buybacks, this increase would have been 13% Yesterday, we announced the renewal of our NCIB program, authorizing the repurchase of up to 5% of our outstanding shares. This renewal reflects our continued commitment to disciplined capital deployment and delivering value to shareholders. Turning to Slide 15 for an overview of our third quarter total earnings performance. Net income grew by 29% year-over-year, while core earnings rose 17%, reflecting solid contributions from all three operating segments and strong investment results. Notably, net income exceeded core earnings this quarter, driven by favorable macroeconomic variations. Now turning to Slide 16 for a closer look at segment performance in the third quarter. In Insurance, Canada, core earnings were $113 million, up 7% year-over-year. This growth was driven by higher core insurance service result, reflecting an increase in combined risk adjustment release and CSM recognized for services provided. Unfavorable morbidity in group insurance, which continued to -- which contributed to insurance experience loss of $2 million was partially offset by favorable mortality and lower claims at iA Auto and Home. Impact of new business was $10 million as a result of new insurance business in employee plans stemming from high volume of confirmed sales, including one large group. Core non-insurance activities also contributed positively, led by the good performance of dealer services. Finally, core other expenses were slightly higher than last year, reflecting normal business growth. Let's now move to -- from Insurance, Canada to Wealth Management on Slide 17. You'll see that in the Wealth Management segment, core earnings reached $125 million in the third quarter, up 18% year-over-year. This growth was primarily driven by increase in the combined risk adjustment release and CSM recognized for services provided, supported by strong net segregated fund sales and positive financial market performance over the past 12 months. Core non-insurance activities also posted a solid increase, thanks to good performance from Group Savings and Retirement, our wealth distribution affiliates and iA Clarington, where higher net revenues on assets was recorded. Turning to Slide 18, covering our U.S. operations, where third quarter core earnings totaled $32 million, up 3% year-over-year. This result reflects several factors, including a higher combined risk adjustment release and CSM recognized for service provided, supported by good business growth over the past 12 months. The segment also benefited from a lower impact of new insurance business and reduced core other expense. During the quarter, we recorded insurance experience gains of $2 million, driven by favorable mortality in individual insurance. Core non-insurance activities totaled $19 million, in line with the prior year. Higher earnings from Dealer Services were offset by expected losses in Vericity distribution activities. That said, core earnings growth was tempered by higher core income taxes, primarily due to onetime adjustments. Now turning to Slide 19 for the results of the Investment segment. Core earnings for the quarter were $105 million, up from $80 million in Q3 2024. Before accounting for taxes, financing charges on debentures and dividends, the core net investment result was $132 million compared to $111 million a year ago. This strong performance was supported by several factors, including the favorable impact of interest rate variations in recent quarters, stemming from the steepening of the yield curve as well as to a lower extent, higher results from iA Auto Finance and the contribution of additional assets from the June issuance of institutional pref shares. In addition, credit experience was positive with higher impacts from upgrades and downgrades in the fixed income portfolio. At iA Auto Finance, our underwriting discipline and portfolio quality contributed to a positive credit experience in the car loan segment. Moving to Slide 20 for the Corporate segment. Core other expenses totaled $70 million pretax in the third quarter, consistent with our quarterly expectation of $68 million, plus or minus $5 million as we continue to focus on operational efficiency. If you turn to Slide 21 to review our solvency ratio and capital available for deployment. As of September 30, 2025, our solvency ratio stands at 138%, well above the regulatory minimum ratio of 90%. The ratio remained stable during the quarter as the positive impacts of organic capital generation and macroeconomic variations were offset by capital deployment activities, including share buyback, IT investments and other non-organic factors such as adjustment in the investment portfolio. On a pro forma basis, the solvency ratio is estimated at 135%, taking into account the impact of the RF Capital acquisition completed on October 31, 2025, and the expected impact of the 2026 AMF-revised CARLI Guideline. On that note, in September 2025, the AMF published a consultation for a revised CARLI Guideline set to take effect on January 1, 2026. If adopted as published, the guideline would, among other changes, modify the treatment of excess capital recognition for property and casualty subsidiaries. This effect is expected to be positive for our U.S. Dealer Service business unit and results in favorable impact on the solvency ratio and capital available for deployment. During the third quarter, we generated strong $170 million in organic capital, keeping us on track to reach our 2025 target of $650 million plus. As of September 30, capital available for deployment was assessed at $1.7 billion, supported by organic capital generation and the positive impact of the 2025 AMF-revised CARLI Guideline on segregated funds. On a pro forma basis, taking into account the RF Capital acquisition and the expected impact of the AMF 2026 revised CARLI Guideline, capital available for deployment is estimated at $1.3 billion. Despite investing in the second largest acquisition in our history, we remain -- we maintain a substantial amount of capital available for deployment, giving us the flexibility to pursue attractive growth opportunities. As we build on successive quarters of strong profitability and a robust capital position, we entered the final quarter of the year with confidence in our strategy and in our ability to execute. We remain focused on maintaining this momentum and delivering consistent high-quality results that support our long-term objectives. These conclude my remarks. I will now turn it over to Stephan, who will speak about the RF Capital acquisition. Stephan, over to you.
Stephan Bourbonnais: Thank you, Eric. Good morning, everyone. I'm pleased to take a few moments to speak about the successful closing of the acquisition of RF Capital. As you know, that took place on October 31. And as Denis mentioned, this transaction marks a major milestone in our ambition to establish ourselves as Canada's leading non-bank wealth management platform. When you look at Slide 23, you'll see that the total price of the transaction is $693 million, which includes the advisor retention strategy we implemented prior to closing. Transaction and integration costs are estimated at $60 million before tax and are expected to be incurred over the first 3 years. So this investment reflects our long-term commitment to the value of advice and advisor engagement, and we expect the acquisition to be neutral to core earnings in year 1 and accretive to core EPS by at least $0.15 in year 2. This acquisition strengthens our position in the high net worth segment and expands our national footprint by adding advisors and offices coast to coast. And by integrating RF Capital Advisor Network, in iA Wealth now operates with three complementary business model with Investia and iA Private Wealth, which will allow us to drive efficiency in technology, operations, and innovation and will position us for accelerated growth, all with the main objective to equip our advisors with tools and expertise that they will have access to that will help them deliver a strong experience and outcome to their clients. If we now move to Slide 24, we present the time line of this acquisition. So since the announcement in July, we've been on the road. Our objective was to meet with RF Capital Advisors. Obviously, the focus was on advisor retention. We wanted to take the time and the opportunity to visit every office in Canada to sit down with advisors one-on-one to get to know them better, to share our vision, and to ensure a smooth transition for everybody involved. The conversations were rich. The conversations were candid and very much forward-looking. We're pleased with the overwhelming positivity and openness demonstrated by the advisors. They see a real opportunity in this new chapter and are genuinely excited about joining forces with us. Three things really captured, I think, their attention in terms of how we wanted to go forward with them. The fact that we wanted to keep it as a distinct business, I think they were excited about the opportunity to continue growing and building their own culture. The thoughtful approach that we had to avoid any disruption for them with advisors not needed to repaper or lose any client data was a key. And last but not least, they really see true value in our partnership, understanding the capabilities from an IT and solution perspective that we could bring immediately to their road map. In the light of their feedback and the enthusiasm they have shown, we are ready to move forward with the integration. The synergy plan is officially in motion. We're approaching it with the same discipline and focus that guides us through our -- all of our strategic initiatives. This is an exciting moment. When you look at the numbers that we show on Slide 24, when we started the process at the end of June, the assets under administration was at $40.4 billion and it now is up to $43.6 billion at the end of September. The number of advisors remained stable. We did lose some advisors, but we started the process with 143 teams. And at the conclusion of the transaction, we were at 142 teams, reflecting teams that have joined us during this process. So with the addition of RF Capital, iA Wealth now serves over 500,000 clients through more than 1,450 advisors with assets under administration exceeding $192 billion. At the group level, we have assets under administration and management in excess of $330 billion, a clear reflection of our continued growth and the successful execution of our strategic priorities. With the retention strategy completed, our focus now shifts to unlocking synergies, accelerating the integration, and delivering the full value, all in line with the iA. These benefits include expanded product access, shared technology, enhanced recruiting potential, and operational efficiency. And this transaction [indiscernible] our strategic vision and sets iA Wealth on a path towards sustained long-term growth. So thank you, and I will now turn it back to Denis for concluding remarks. Denis?
Denis Ricard: Thank you. Thank you, Stephan. And yes, we are very, very pleased with the RF Capital acquisition and I'm very proud to close the retention strategy chapter on a strong note with successful outcomes leading up to the closing of the transaction. So before we move to the Q&A, let me just take a moment to close with a few reflections. Please turn to Slide 26. Our third quarter results once again demonstrate the strength and consistency of our diversified business model and our ability to execute with discipline. We're not just delivering, we're compounding. Quarter after quarter, year after year, we continue to build momentum. Our earnings growth is consistent, underpinned by high-quality results and a clear focus on long-term value creation. Our organic capital generation and robust financial position give us the flexibility to invest in strategic growth and return value to shareholders. Sales momentum is strong, particularly in Wealth Management, which generated over $1.1 billion in net fund sales this quarter. These results reflect the continued appeal of our offerings and the strength of our distribution network. This performance is no coincidence. Our strategy is clear. We are executing the iA way. It's the result of a resilient and differentiated business model built on five reinforcing pillars: targeted niche markets, a broad and entrepreneurial distribution network, diversified product offerings, agile technology, and scalable platforms. This unique combination is what sets us apart. It makes us resilient and enables us to consistently deliver across economic cycles while positioning us for long-term growth. Our recent acquisition of RF Capital is a clear example of how we deploy capital to strengthen our foundation and accelerate future growth. We are focused, disciplined, and confident in our ability to continue delivering, not just results, but sustainable compounding growth. Thank you. Operator, we are now ready to take questions.
Operator: [Operator Instructions] Our first question is from Gabriel Dechaine with National Bank Financial.
Gabriel Dechaine: So another good news on the capital front there with the AMF modification there. Just wondering, is this -- for starters, is this bringing the AMF more in line with OSFI treatment? And then second, I mean, I'll ask the obvious question, what's your appetite for more acquisitions at this stage? It seems like it would default to buybacks in my assumption, but you're an acquisitive company historically. So maybe there's something else on the horizon?
Eric Jobin: Yes, Gabriel, it's Eric. I'll take the first part, and I'll leave it the second part for Denis. For the CARLI Guideline, it brings AMF. This dealer business model is kind of unique for an insurer in Canada. So there's not really comparable at the OSFI level. So it's not necessarily that, but it brings AMF in line with the U.S. regulators in terms of capital requirements. So there's -- this is where the alignment is coming.
Gabriel Dechaine: Recognizing that it's a P&C business basically or...
Eric Jobin: Yes, exactly. And so it takes into account the risk of the business instead of just applying a guideline.
Denis Ricard: Yes. It's Denis here. We're very pleased with the end result. Having a level playing field with our competitors in the U.S. was a goal, and we're very pleased that the discussion we had with the regulators. The regulator has been quite open on that. Obviously, the regulator is not here to give us a Christmas gift, but really, the level playing field was the goal all the way for both of us. In terms of the appetite for the dealer business, obviously, it was a milestone for us here in a sense that before we -- this was settled, there was -- I mean we were not sure exactly what will be the end result. And to some extent, we were patient to wait to see what will be the end result. Now that it's being solved, there's one, I guess, step forward before we want to go, let's say, bigger on the dealer business in the U.S., which is really to bring profitability to a, I would say, an adequate level, a reasonable level that we would be comfortable with. And the team is working very, very hard. And at some point, I'm sure we're going to get questions, and Sean can answer that. But we've done various steps toward improving the profitability and the growth of that business. We are on the right path. I'm very confident that within a couple of quarters, we might take a decision to go bigger on that.
Gabriel Dechaine: And then my second question, just from a modeling standpoint, I guess, the capital deployed, you closed that RF Capital post quarter. Is there a step down in the expected investment income line that we should expect? And just for clarification, then there would be an offset in somewhere else, I guess, expected profit such that it's still an EPS neutral in the first year?
Eric Jobin: Yes, Gabriel, you are right. In fact, one of the reasons why the expected investment earnings in the third quarter was higher than last quarter was that we issued capital in June, and we will get the opposite impact in the fourth quarter where we have now deployed the capital, reduced the amount of asset. So that will reduce our investment income, but increase our operating results in the wealth segment going forward. So that being said, Gabriel, in terms of accretiveness, we -- of course, we just have 2 months into '25. We expect to get some neutrality. But as we look and if macroeconomic holds and Stephan has done a great job with retaining advisors. So we now expect to be accretive in the first year if everything holds like this. So we -- and as a simple rule, we mentioned some accretiveness number in -- when we made and announced the acquisition. You should assume that this number can move a year earlier as a good proxy for what the performance of this acquisition.
Gabriel Dechaine: I think that $0.15 could be year 1 as opposed to year 2. Got it. Okay.
Eric Jobin: Exactly. But the only thing, Gabriel, is expect some neutrality in the next couple of months. But overall, for the first year, we see that it will be accretive.
Operator: The next question is from Doug Young with Desjardins Capital Markets.
Doug Young: Maybe for Eric or Stephan. Just continuing with the ARF acquisition discussion. I was going to ask how you get from neutral year 1 to $0.15 accretion in year 2, but you talked a little bit about it. But can you maybe just elaborate like why initially you thought it was going to be 0 in year 1, $0.15 in year 2 and why it could be pulled forward? And then there's been no discussion on -- and I don't think there's been a lot of discussion on revenue synergies, but maybe I missed it. But like do you think there's opportunity for revenue synergies? And can you kind of elaborate a little bit about where that could come from?
Denis Ricard: Yes. Well, thank you, Doug, for the question. It's Denis here. When we bid for an acquisition, there's always a lot of assumptions behind that. In this case, there were two that were critical. One was the retention, obviously, and the second was about the, let's say, the performance of the market. And on both sides, we've had fantastic results much better than we expected on both retention and the macroeconomic environment has been very favorable, a huge tailwind. So that's why we're seeing today that the $0.15, we might just realize it in the first year as opposed to the second year.
Doug Young: Thoughts on the revenue synergy.
Stephan Bourbonnais: Yes, I could take that part. When we visiting with them what we've heard, there's a lot of opportunities. When you think of from a product solution perspective, whether it is UMA, SMA, they need assistance. They were looking for a team that could support them on product development oversight. They were looking for support on economic insight, asset allocation strategy. So those are all the things that we have within our organization that we're going to be able to put forward capital market activities. They did have a team, but I think there's complementary skill set that we're bringing to the table, considering the high net worth profile that they have with advisors in the alternative space, there's an appetite for us to support them. There's a distinct product that we could build with them as well from structured notes, ECM, syndication. They're excited about our trading desk on the equity and FX side. So I really do think there is a lot of opportunity. And the thing that we like is we are ready to bring this forward. So we are actually at the office today speaking to the advisors and the employees, and we are able to show them a road map from the synergies perspective in terms of what we expect right now and for the next coming quarters. We also see a lot of opportunity on the recruiting side. I think I had shared with this group with the Investia model in Private Wealth, we were good at attracting non-bank advisors. There's a huge opportunity in Canada to attract bank advisors. People are looking for an alternative. And I think the Richardson channel offers us that opportunity to bring bank advisors to us. So this will accelerate the recruiting and probably improve as well as the retention. We were doing well, but now having multiple channel advisors, we'll be able to pick and choose where they want to operate based on their needs and preferences. And we could also say there's a huge opportunity on the cash management side for us. So we feel comfortable about what we could create in terms of synergy on the revenue side.
Doug Young: That's helpful. And then just second, I don't know if this is for Alain or for Eric, but strong quarter for the Investment division. I was finding this is really tough to model. Can you talk about any puts and takes that we should be thinking about when we're modeling Q4 2026? Anything unusual? I know you did a raise that obviously bolstered cash and then you had cash that's now been deployed with RF. Like I'm just trying to put in context of how to think about that division and model that division, so I don't get any huge surprises.
Eric Jobin: Yes. It's Eric, Doug. I'll help -- I'll keep -- I'll take this one. As you're right, first, our -- the capital issuance in June was one of the driver of the beat or the increase quarter-over-quarter. The other item that is difficult for you to predict is when the yield curve is moving and steepening or flattering. So this part is difficult to model. But -- and it was positive in the quarter. And I would say that the third part that has been positive and that is contributing to investment income as well is the improvement in iA Auto Finance performance. The expected investment earnings coming from that segment has improved over the last 12 months. We've done many things to improve the credit underwriting criteria, and we're seeing the results. And now the expected investment earnings is improving and credit experience start to be positive as well. So I think we've been successful in turning around that investment portfolio, and we're just collecting the benefits of that hard work.
Doug Young: So is this -- Eric, is this like a normal quarter? Or should we kind of be thinking about something a little less robust?
Eric Jobin: You mean in iA Auto Finance, Doug, or in general.
Doug Young: No, the general division in general.
Eric Jobin: Okay. Yes. In general, I talked about three things that explain. So obviously, the capital issuance is going the other way around this time. As we've just deployed $700 million, you should expect investment income to go down by roughly, I would say, $5 million next quarter. But you will see improvement in the operating result of the wealth segment. And keep in mind the guidance I gave about the accretiveness earlier on. So those are the moving parts. And then it's difficult to guess where the yield curve will move in the coming quarters. But for iA Auto Finance, we're really confident that we're there, and we've made the improvement that we needed to do. So that should prevail in Q4 as well. That's kind of how I see it.
Operator: The next question is from Tom MacKinnon with BMO.
Tom MacKinnon: I've got two questions. The first is with respect to the core non-insurance activities in the U.S. down quarter-over-quarter, $4 million. You mentioned losses for distribution activities of Vericity. Can you elaborate on that? Is -- how much of those losses are in that $19 million? What's the dollar amount there? And what would drive that core non-insurance activities number to increase? Is it predominantly related to dealer services sales? How should we think about these other distribution activities at Vericity and their impact? And I have a follow-up.
Eric Jobin: Yes. Thanks. I'll start with an explanation for the financial impact, and then my colleague, Sean, will step in for the strategy. In fact, what you've seen in the quarter is a decrease related to the sales activity that will Sean comment just after me. And the only thing I would remind you, Tom, is that we say all the time that the profit recognition for dealer service is happening mostly at time of issuance. So when sales go down, it impacts directly the core non-insurance activities. And as a rule of thumb, I said previously, I think someone asked me, and I said 70% -- 75% of the revenue are recognized at time of sales. So it's really that effect. And I will leave now the mic to Sean to explain what he is doing on the -- on your strategy. Sean?
Sean O'Brien: Yes. Thanks, Eric. And Denis mentioned in the open, for the Dealer Services business, we're really happy with the recovery we're seeing this year. The real focus was working on the operations, reducing some of the expenses on it and then looking at pricing across the board. And I mentioned last quarter that we've repriced all of our onerous products in that business. And it was expected as part of that process with a real focus on profitable, high-performing dealers that we would see some attrition, which we did, all within sort of the range of what we'd expected. The other impact we're seeing this year is there's some variance in the normal sales flow in the U.S. with Q1 was so strong. It was 23% higher than the year previous, as I recall. And so we sort of saw some pull ahead, I think, at the beginning of the year and Q3 was softer. But overall, really happy with the results. We're going to come in very close to our target of 10%, I suspect, for the year. Yes, so things are looking good, very happy with it.
Tom MacKinnon: And the Vericity, what was the impact there? And how should we be -- is Vericity really material to that line?
Sean O'Brien: Go ahead, Eric.
Eric Jobin: Yes. If you want to add, Sean, the materiality of Vericity, keep in mind that in that core non-insurance activities, you have the distribution impact of the Vericity acquisition. So it's still minimal, Tom, on this. It's slightly negative, but it's as expected. We knew when we made that acquisition that we would have a couple of years of loss and on that line. And when we refer to accretiveness overall, starting in year 2, it's when we look at the overall picture, including the insurance activities that you have in the driver of earnings in other lines. So overall, things are moving in the right direction. But for the distribution arm, it's still operating at loss, and we still expect losses to happen for a little while before it becomes profitable, but things are moving in the direction that we expected.
Tom MacKinnon: Okay. And then the follow-up question is just with respect to capital generation, organic capital generation. Year-to-date, your earnings are up. Your core earnings are up 22%. I think if you kind of look just, you might be almost up 18% year-over-year in the quarter. Yes, so certainly tracking well ahead of the 10% guide or the 10% growth plus guide. But the organic capital generation, the $650 million versus the $600 million isn't -- is substantially less than the core earnings growth. Is there any reason why? Or is it the policyholder gains that aren't necessarily transferable into organic capital generation? Just any color there would be helpful.
Eric Jobin: Things are moving in line with plan, Tom. We always have some seasonality that takes place for organic capital generation during the year, specifically in the first half where it's kind of lower and then it's stronger in the second half. If you look at the past year, you'll see the same trend. As we speak, we're at $495 million of organic generation, well on our way to get to the $650 million plus. So things are $595 million, excuse me, I said $495 million, but we're well in a good direction to get there.
Tom MacKinnon: No, my question isn't, are you going to get there? My question is, why is the growth in the organic capital? Why is that growth less than the growth in the core earnings?
Eric Jobin: We'll take it offline, Tom, if you don't mind. It can get technical.
Tom MacKinnon: Understood.
Operator: The next question is from Paul Holden with CIBC.
Paul Holden: Two questions for you as well. First one on the mutual fund sales, a big improvement in gross sales, up 58% year-over-year, and then that drove net sales to the positive, which is great. So I want to understand that a little bit more, obviously, with the idea of sustainability of that improvement. So if you can explain where that huge growth in gross sales is coming from, if it's affiliated distribution versus third party, if there's been improvement of fund performance or if it's more new product launches, whatever color you can give us.
Denis Ricard: Yes, we're very pleased with the mutual fund sales this quarter. And maybe, Stephan, do you want to give more color on that?
Stephan Bourbonnais: Yes. Thank you. Yes, great improvement, I would say, quarter-over-quarter and year-to-date. The industry has rebounded as well, right? So I think we also benefited from that. But I think what you're seeing here is we've done a lot of work on retooling the team, realigning the team, upgrading our talent. We've been successful at increasing our sales to the affiliate channel with new products that have landed well with our team, mostly with our UMA approach and elite pools that has been a huge success, and we've seen significant adoption. We've supported advisors with alternative products as well that they've been looking at. And we've seen increased sales in the non-affiliate as well. We onboarded a new manager -- a new portfolio manager a year ago with a firm named Agile, and they've been quite successful at opening up doors with the bank. So it's been great to see. And that has driven, obviously, net sales to be in a positive territory. So it's looking good. What I like is we see the consistency week over week. We've seen an increase in sales on our average. We've also seen week after week the net number being there. So it's not like one big week or one big month that is giving and showing to the numbers. It's the consistency in the approach we're having. So I feel pretty good about the momentum where we're at right now.
Paul Holden: Okay. Great. And then a bigger picture question on ROE. I mean, as you highlighted, you're ahead of plan in terms of ROE expansion, which is great. If I recall from Investor Day, you kind of highlighted two potential catalysts for the ability to exceed that 17% target, which were share buybacks and acquisitions, two things that look to be in the card. Are those kind of the things we should continue to look at in terms of your ability to exceed that 17% level? Or can you also get there based on where you are today just based on organic growth as well?
Denis Ricard: Yes. Thank you for the question. Absolutely. That's the answer -- the short answer. We have a pace of buyback right now, which is lower than our capacity to generate organic capital. i.e., we are actively looking for profitable acquisition going forward. But at the end of the day, there's always a plan B that if we're not able to deploy profitably our capital that we might increase the NCIB, the buyback. So those are the very important tools that return value to the shareholders. Our first choice is really to grow the company, grow the organization. That's what we've done recently with the RF Capital acquisition. But -- and we are actively looking at some. That's of our first choice. But at the end of the day, if we cannot, for whatever reason, we'll return the value to the shareholders. Our goal is not to pile up capital.
Operator: [Operator Instructions] the next question is from Mike Rizvanovic with Scotiabank.
Mehmed Rizvanovic: Just a quick follow-up from Eric, maybe on the steepening of the yield curve. And just making sure I heard you correctly. So $5 million down potentially, that's for the investment segment overall next quarter?
Eric Jobin: Yes, accepting -- excluding any macroeconomic impact. That's what you should expect, everything being the same.
Mehmed Rizvanovic: Got it. Okay. And then as far as the movement in the yield curve, the steepening, just trying to get a better sense of was there anything peculiar about the steepening? Is it any part of the curve that drove an outsized result? Just trying to get a sense of just what happened in the quarter. It seems like it's a sustainable level with maybe a bit of downside for next quarter. But generally, you're going to keep those gains because the yield curve has already steepened. Is that the way to think about it?
Eric Jobin: Yes, exactly. We always say that we're winning when the curve is steepening overall for the organization. Of course, some sector may be affected by a short-term decrease in interest rate. But overall, when we look at our overall organization, we win and of course, at some point, steepening on its own is not enough. We need a good long-term interest rate as well. But in the current environment, it's favorable for us on both sides, steepening and the level of interest rate.
Mehmed Rizvanovic: Okay. That's helpful. And then a quick one for Stephan, just on the retention of the iAs with RF Capital. Do you think you're past the point where the risk of attrition has basically gone? What I'm getting at is I'm not really sure if it's at the announcement date within a few months of the announcement date, and that's when you normally see attrition? Or is it like 12 months later? Like do you feel like you're past the point where the downside risk on attrition has basically diminished at this point?
Stephan Bourbonnais: I'd love to say yes to this. But unfortunately, right, our focus is always the same, and it's true for RF, but it's true for Investor and Private Wealth, right? It's always to make sure that we're keeping our advisors to stay with us, right? So obviously, they had opportunities to choose a different path. I think what they're saying is they're willing to stay with us and see what we can do by coming together. So I think we're going to have a really good shot at showing to them the value of our new partnership. I think they're excited about it. So I was obviously concerned from the first few weeks to see how they would react. And I know the industry was close to them and offering them an alternative. And I think the message that we're getting is they're willing to give us a fair shot. And we're going to take it, and we're going to work with them to make sure that it's a successful partnership for both parties.
Denis Ricard: Yes. Maybe just one thing to add is that, obviously, the first weeks were very, very critical. So they pretty much understand what's our value proposition right now. And as you've seen from the numbers, I mean, most of the teams are with us as we speak. But obviously, for any other -- for any organization, including us, you always have to demonstrate your value.
Operator: The next question is from Darko Mihelic with RBC Capital Markets.
Darko Mihelic: I'll be very quick. Eric, I just want to go back to that $5 million drop in investment. Are you talking the -- I mean which line item are you talking about? Because we calculate that the LRCNs alone will be an $11 million impact next quarter. So are you talking ex that? Or am I -- are you talking the investment line? Like are you talking bottom line number for just $5 million?
Eric Jobin: No, no. I'm talking about the expected investment income, Darko, the top line of that. When we reduce our invested asset by $700 million, if you make a reasonable assumption, you'll figure out quickly how we get to the $5 million per quarter.
Darko Mihelic: Yes. Okay. Great. And then just overall, Denis, are you getting a little -- I mean, the markets have been very kind. How do you feel about the overall exposure to very strong equity markets, a solid yield curve, essentially, where I'm going with this is we're at a stage now where your wealth business is much bigger, your investments are in a very strong place. How do you feel about a downturn, a drawdown supposedly, like something like that. How do you -- can you speak to your sensitivity to these items? And what makes you comfortable that your earnings power is really secure in a bear market, so to speak?
Denis Ricard: I mean we have sensitivity -- thank you for the question. We have sensitivity testing on the market movement. So you can relate to that if you want. But the one thing that I would say is that, I mean, as far as I'm concerned, I'm not that concerned of a downturn. We know it's going to happen at some point for sure. When we commit for the 10% EPS growth going forward, 10% plus, it's really for the long term. So there are years where the 10% might not be hit because of market -- if there is a strong market downturn, it might affect the profitability overall. But at the end of the day, when we look long-term, we're pretty confident -- pretty much confident that we will reach or even exceed the 10% plus. We've already had a great ride so far, much more than the 10% plus. So you have to look at it on a very long-term basis. I mean, obviously, from one year to the other, you'll see some sensitivity.
Darko Mihelic: Okay. And does it change your capital deployment plans?
Denis Ricard: No, it's not changing. Absolutely not. We will be prepared to allocate and deploy our capital in any business, even the ones that is sensitive to the market, like RF Capital that we've just bought, obviously, we're very pleased where we are right now because the market has also collaborated a lot since we announced the acquisition. So if there are other opportunities in this space, we'll get there and any other space like individual insurance in the U.S. is one that is less, I would say, affected by stock market. This is one that we would be very much prepared to invest as well. Dealer Services, we'll see, as I said before, still need a couple of quarters before we go bigger on that. But again, any business we're in, we're pretty happy because the ROE is higher than the target.
Darko Mihelic: Eric, if you have a chance, I'd like to also speak offline. regarding your capital. We did an analysis using comprehensive income core and reported, and we found very little relationship between those and organic capital generation. So I'd love to be part of that conversation, please. Thank you.
Eric Jobin: No problem, Darko.
Operator: This concludes the question-and-answer session. I'd like to turn the conference back over to Caroline Drouin for any closing remarks.
Caroline Drouin: Thank you, everyone, for joining us today. All of our Q3 earnings release and slides for today's conference call are posted on the Investor Relations section of our website at ia.ca. A recording of this call will be available for 1 week starting this evening. And the archived webcast will be available for 90 days, and a transcript will be available on our website in the next week. Note that our 2025 fourth quarter results are scheduled to be released after market close on Tuesday, February 17, 2026. Thank you again, everyone, and this concludes our call.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.